Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BOS Fourth Quarter 2013 Results Conference Call. All participants are at present in listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. (Operator Instructions) As a reminder this conference call is being recorded and will be available on the BOS website as of tomorrow. I would like to remind everyone that this conference call may contain projections or other forward-looking statements regarding future events or the future performance of the Company. These statements are only predictions and may change as time passes. BOS does not assume any obligation to update that information. Actual events or results may differ materially from those projected, including as a result of changing industry and market trends, reduced demand for our products, the timely development of our new products and their adoption by the market, increased competition in the industry and price reductions, as well as due to risks identified in the documents filed by the Company with the SEC. I would now like to hand over the call to Mr. Yuval Viner, CEO of the Company. Go ahead, Mr. Yuval.
Yuval Viner: Thank you, and good morning to all our listeners in the U.S. and good afternoon to those who are joining us from Israel and Europe. We ended the year 2013 in breakeven results, which is the best result since year 2007 and impressive performance of our forecast for the year 2013, which was a non-GAAP profit. During the year 2013, we returned to path of growth, and business of RFID and Mobile division grew by 17.5%. The growth was attributed to the recovery in demand of our customers for RFID and Mobile solutions from new and existing logistics demand. Yet, the performance of the Supply Chain division was below our expectation and adversely affected year 2013 and the fourth quarter results. We are investing a lot of efforts and management resources to improve the performance of the Supply Chain division during the year 2014, and I am confident that we will succeed in this mission. Our outlook for year 2014 is profit on a non-GAAP basis. Now, I would like to turn over the call to Mr. Eyal Cohen, our CFO.
Eyal Cohen: Thank you, Yuval. We had few major achievements in the year 2013. Profit before tax amounted to $13,000 compared to a loss of $700,000 in the year 2012, a significant improvement. We have continued to reduce our loans as we are doing in the last four years and currently we do not have any financial covenants on this loan. Shareholders’ equity changed direction and increased from $3.2 million in December year 2012 to $3.7 million in December year 2013. We plan to continue to improve our financial position and to grow our business through cash flow from operating activities and raise of equity. We have used the equity lines of YA Global in a measured and controlled way. Since we signed the equity line agreements with YA Global nine months ago, we have raised only $450,000, which is less than 0.5% of the accumulated volume in our stock during that period. This completes the financial review. Thank you.
Operator: Thank you, sir. Ladies and gentlemen, at this time, we will begin the question and answer session. (Operator Instructions) The first question is from [Mitch Fitter of AH](ph). Please go ahead
Unidentified Analyst: Yes, sorry gentlemen. Is there - you entered into a standby equity distribution agreement and note purchase agreement in February? Could you elaborate a little bit more on what exactly, how that is going to work? My concern is that it will have pressure on the price of the stock because the purchase price of the ordinary shares will be at a 5% discount for the average share. So, if you are converting the cash into stock at a discount, the stock could be sold right away and driven the stock down, sort of like a top covert. So, if you could elaborate on that and how that could increase the amount of shares outstanding?
Eyal Cohen: Yes, thank you for the question. This is Eyal. We have used the equity line of YA Global since June 2013, and we used it in a very measured and controlled way, and like as I mentioned before, in the last nine months, we have raised only $450,000, which is less than 0.5% of the accumulated volume in that period of the year, and it didn’t seem that it put any pressure on the share. So all of it depends on the -- this improvement is on the hands and in the control by the company, and at the moment that we see there is big volume, we raised money through this equity line. And as I mentioned, we raised just $450,000 in nine months period which is less than 0.5% of the volumes.
Unidentified Analyst: How many shares does that equate to?
Eyal Cohen: Yes, it’s about 66,000 shares. This is about the average price of $6.6 per share.
Unidentified Analyst: Okay. So it’s safe to say that the – as soon as this gets converted, the stock is sold immediately you think?
Eyal Cohen: Yes, it’s immediately sold on the same day.
Unidentified Analyst: Right. Now, this is the best type of financing that you can do, because every time you borrow money, it puts pressure on the stock?
Eyal Cohen: Okay, first, there are two instruments. The first instrument is the equity line, which we believe this is effective and (inaudible) equity instrument, because you raise money in 5% discount without foreign exchange coverage and with a very low, little cost as compared to private equity or public offering you can imagine what are the costs? And the second part of this instrument is the loan, bridge loan that we took in February of $5 million to finance a specific transaction in the Supply Chain where there was a case that we had to pay in advance for the vendor and to collect the money from the Israeli customer after three months. And this is back-to-back, a loan. So there are two instruments here. But in general, we don’t expect to increase in our loan level and as we did in the last four years, we expect to continue to reduce our loan during the year just to recall the near-term we had about $15 million loan, today we are about $7 million loan. This is the trend.
Unidentified Analyst: The line – when the stock is $4, do you intend on doing that or you wait for a more opportune time when the stock is a little bit higher as shareholders are fighting against – every time you drill down money, there has been the pressure on the stock.
Eyal Cohen: As I’ve mentioned before, at the beginning, we are using it in a very measured and controlled way which we raised $450,000 during the nine-month period when we had accumulated volume of $120 million in that period.
Unidentified Analyst: Right.
Eyal Cohen: So, we are using – we don’t think that it has effect on the share price, and we won’t let this instrument to negatively effect on the share price.
Unidentified Analyst: How many shares outstanding are there now?
Eyal Cohen: About 1.3 million shares - this is – if you want the exact number, actually we have outside, yes, this is the number, 1.3 million shares.
Unidentified Analyst: Okay. Thank you very much.
Eyal Cohen: You are welcome.
Operator: (Operator Instructions) There are no more questions at this time. Before I ask Mr. Viner to go ahead with the closing statement, I would like to remind the participants that a replay of this call will be available on the Company’s website, www.boscorporate.com by tomorrow. Mr. Viner would you like to make your concluding statement?
Yuval Viner: Yes, thank you. We are continuing our day-to-day effort to streamline our operations, and expand our solution offering. We are confident that we will meet our challenges. I want to thank you all to participate in this one during the Passover in the Easter Time. Thank you all.
Operator: Thank you. This concludes BOS fourth quarter 2013 results conference call. Thank you for your participation. You may go ahead and disconnect.